Alan Jackson: Good morning, ladies and gentlemen. We’ll kick off. Welcome to Playtech’s 2018 Interim Results Presentation. I’m sure you’re all sitting comfortably and got plenty of space. What I’m doing today, what we’re doing today are reporting on what’s been an extremely busy period for the group. A disappointment in the Asian markets was marked against strong operational progress in regulated markets, which delivered a clear path towards future growth for the gaming division. The landmark acquisition of Snaitech announced in April delivered the board strategic objective to improve the quality and diversification of the group revenue whilst delivering exposure to high-growth end markets. The acquisition of Snai in conjunction with the organic growth of the regulated part of our business is delivering an enhanced financial profile for the group, with 69% of revenue regulated in the first half of 2018. Contributing to this is the growth in our financial division, TradeTech, which continues to perform well. The progress TradeTech made in 2017 through organic progress and strategic acquisitions resulted in a strong start to 2018. So I’ll now hand over to Andy, and he will hop over here and talk about the group financial review.
Andy Smith: Thank you very much. Thanks, Alan. Morning, everyone. So starting with Slide 5 in the financial highlights. The first half of 2018 saw a marked contrast in the performance of the different parts of the business. It is worth stating that the [indiscernible] headwinds in the Asian B2B Gaming market are specific to the region. Outside of Asia, UK B2B Gaming revenue grew by healthy 6% at constant currency and B2B Gaming revenue in regulated markets grew by 16%. At group level, total revenue, excluding Asia, grew by 35%, including a contribution from Snai from the 5th of June. Playtech’s financial profile continues to evolve, delivering an increased quality of earnings from the focus on regulated and fast-growing markets. The combination of organic progress in key regulated markets, the headwinds faced in Asia in H1 and the first month contribution of Snai delivered regulated revenue at group level of 69%. With Asian revenue at its current run rate and a full period of contribution from Snai H2, we currently expect full year 2018 regulated revenue to be around 80%. We made significant progress with the balance sheet in 2018 with the sale of holdings in Ladbrokes Coral in GVC and the repayments to the RCF. A key focus for H2 will be delivering the refinancing of the Snaitech debt, which is currently progressing well. A fundamental principle of Playtech is a focus on strong cash generation. And in H1, net cash from operations increased 51% to 223 million, including the contribution of Snai. The strength of Playtech’s cash generation enable Playtech to sustain the interim dividend at 2017 levels despite headwinds in Asia. Turning to Slide 6. Total reported revenue increased 4%, which included a one month contribution from Snai, whilst adjusted EBITDA decreased 15% to 145 million, due mainly to the downturn in Asia. Growth in adjusted net profit was lower than the growth in adjusted EBITDA due to a number of moving parts, mainly relating to Snai, including higher DNA, higher taxes, higher interest and a minority interest. On Slide 7, when looking at the results excluding acquisitions and at constant currency, group revenue decreased by 12% and adjusted EBITDA decreased by 20% due to the headwinds in Asia. Turning now to Slide 8 and as discussed at previous results, going forward, it is appropriate to analyze the respective revenue and adjusted EBITDA contributions of the different divisions given the different drivers of growth in different margin profiles. You may have noticed that there’s been a box saying group at the top right of the last few pages, and over the coming slides, the box will either say of group, B2B Gaming or B2C Gaming to make it clear what I’m referring to. The results of TradeTech, which saw a strong H1, will be covered by Ron as usual. Turning now to look at the margin on Slide 9. As a reminder, we have stressed, at recent results, that going forwards, we would expect group margin to be a less relevant KPI for the group given the different margin profiles of the different parts of the business. Playtech’s B2B Gaming margin dropped by 7 percentage points in the half, having been impacted by the headwinds in Asia in H1 with a loss revenue largely dropping through to EBITDA. The B2C Gaming margin saw a material improvement, although there are number of moving parts, and we’ll look at this in greater detail shortly. TradeTech saw a very strong margin performance in the first half, increasing by 13 percentage points, and Ron will look at the drivers of this in his section. On Slide 10, we explore the performance of the B2B Gaming business in more detail. The headings is a business of 2 halves. And whilst this risks sounding a little flippant, it’s very clear to see that the headwinds in Asia and other unregulated markets have no read-across to the regulated business. In the U.K., the B2B Gaming business grew 6% in H1 at constant currency with 12% growth in other B2B markets outside of the U.K. and Asia, driven by markets such as Greece and Mexico. Looking at the regulated versus unregulated split, the contrast is stark with related revenues growing 19% at constant currency and unregulated revenues down 34%. The vast majority of the 34% fall relates to Asia, with Australia being the largest constituents of the remainder. The change in the respective regulated and unregulated revenues has a material impact on the quality of earnings of the business. Turning to Slide 11. We can see the performance of the various B2B Gaming line items and is a slide which you’re all familiar with. However, given the impact of Asia, the far right-hand column also shows the ex-Asia performance, and this is a column I will focus on. All the line items are in growth with the exception of services, which saw a decrease due to the continuing shift away from unregulated markets. Casino saw a growth of 8% with 29% growth in sport, which continues to be a key driver of regulated revenues. Looking now at the breakdown of costs on Slide 12. Playtech demonstrated good cost control in the period with cost down 6%, excluding acquisitions. Expensed R&D cost decreased 13% in the period with total R&D cost staying flat due to an increase in the percentage of cost, which were capitalized in the half with rents attributed to R&D only being capitalized since the start of H2 2017, meaning that the amount of R&D capitalized in H1 last year was inherently lower than in H1 this year. Capitalized development cost for the full year 2018 are expected to remain at the same percentage level as 2017. On Slide 13, we can see more detail of the moving parts of the B2C performance, which we’ve split into 3 parts, which is also how we currently tend to present B2C for the foreseeable future. Firstly, this was the first page which saw a contribution from Snaitech, and we’ll look at this in more detail in the next slide. Secondly, Sun Bingo revenue increased 28% in the constant-currency basis in the half with adjusted EBITDA from the contract improving by €4 million despite an increase in the half in the minimum guarantees. Mor will talk in more detail about Sun Bingo contract shortly. Finally, the casual gaming and other B2C line is effectively the remainder of B2C business. The lower revenue and adjusted EBITDA in this line item predominantly reflects lower revenues from the Narcos casual game. Turning now to Slide 14, we’ll look at the performance of Snai, which was consolidated from the 5th of June with the far right column showing the contributions of Playtech’s first half results. Total Snaitech revenues increased by 1.5% in the half to €444 million. Revenue was positively impacted by the increasing wagers from online betting and online games, lower sports betting payout and a positive impact on revenues from lower VLT payout, which was partially offset by the increase of the PREU tax rate on AWPs and VLTs as well as the decrease of wagers from gaming machines. In line with Snaitech’s strategy, growth in adjusted EBITDA was significantly ahead of growth in revenues driven by the growth in online, the lower payout to sports betting and the final portion of synergies arising from the merger with the Cogemat group. As at the 30th of June, Playtech held 81% of Snai. On 26th of July, Playtech acquired a further 15% and acquired the remainder on the 3rd of August to own 100%, on which day, Snai was delisted. Turning now to Slide 15. Net cash from operations was up 51% compared to H1 2017, over -- up 15%, excluding Snai. Cash conversion in H1, excluding Snai, was 101% compared to 79% in the first half of last year, driven by a decrease receivables. Days sales outstanding, excluding Snaitech, were 49 days as at the end of June, which was similar to the end of June 2017 and an improvement of 54 days as at the end of December. The first half of the year also saw significant inflows of €260 million from GVC Ladbrokes Coral relating to Playtech’s former holdings. The continued strength of cash flows has enabled interim dividend to be sustained at 2017 levels. Looking now at Slide 16. We can see the bridge from adjusted gross cash held by Playtech at the end of 2017 to the end of H1. I’m not proposing to go through these in detail, but it is worth flagging that €100 million of the €200 million drawn RCF was paid down in H1, with the remaining €100 million being paid down just after the period end. So the €563 million on the far right is therefore €100 million lower than I showed in the balance sheet at the end of June, and we’ll revisit this number shortly. Turning now to Slide 17. Significant progress was made in the period on the continued improvements in the efficiency of the Playtech balance sheet, and we remain committed to continuing this progress. The acquisition of Snai added a conservative level of debt to Playtech’s balance sheet, and this will be refinanced over the coming months. As just mentioned, the €200 million facility is now being fully repaid and replaced with the €250 million RCF, which is currently fully undrawn and is available when needed. Playtech is also fully disposed of its holding in GVC, leaving the stake in Plus500 as the only material asset available for sale. It’s worth noting that whilst it’s not a reason in itself for holding Plus500, the period did see is a significant increase in the value of the holding as well as a significant interim dividend declared post period end. Turning now to Slide 18. We have provided additional disclosure on the cash which is available to Playtech. This disclosure is obviously highly relevant when looking at the quantum of the upcoming refinancing. Although the starting point when looking at the cash on the balance sheet is the gross cash, as we have previously stated, this isn’t a relevant number as it includes cash held on behalf of customers and progressive jackpots, money which does not belong to Playtech and is not ours to spend. The relevant starting point, therefore, is what we disclose as the adjusted gross cash. This was €387 million at the end of December and now stands at €563 million, being the number on the far right the cash flow bridge that we discussed a few slides ago and is stated again on the third row of the table presented here. Although none of this €563 million is in any way trapped in that it is all immediately accessible and available to Playtech, some of this cash needs to be retained by Playtech and so is not available to reduce the quantum of the upcoming refinancing. Starting with €563 million, on a day-to-day basis, Playtech currently needs a maximum buffer of around €148 million. Working through the fourth through, which totals this €148 million, Playtech Gaming needs around working capital of around €60 million, TradeTech needs around €60 million and Snai needs around €30 million. In addition to the €148 million set aside for day-to-day operations, TradeTech also has capital adequacy requirements. Looking at the final row, this currently leaves up to just under €350 million which is available to Playtech and could potentially be used to lower the quantum of the upcoming refinancing. Now to Slide 19. Playtech is preparing longer-term financing to be put in place to take out the bridging loan from the Snaitech acquisition. The total amount to be refinanced, including fees, is around €1 billion. And when looking at this amount, the previously discussed cash in the balance sheet may be taken into account. As part of the refinancing, Playtech is currently finalizing discussions with various rating agencies and an update on the refinancing will be provided in due course. Finally, looking at Slide 20, we are pleased to be able to reaffirm the guidance given to the market in July. Asian revenues have stabilized at a run rate of around €150 million. Many of you have asked for a breakdown of the respected margins within B2B Gaming, specifically the margin of Asia. Before we look at this, it’s worth reminding ourselves that the B2B Gaming business is first and foremost a software business with a high level of centralized and shared costs, specifically costs such as R&D, security, compliance, legal and I could go on. While these centralized costs can be apportioned to the different parts of the business, it is largely an artificial apportionment and does not reflect how the business is run. When looking at the margin of Asia, the relevant number for direct cost is around the €25 million level plus a share of the centralized cost, which we haven’t apportioned for the reasons stated just now. Momentum in the Sun Bingo business is pleasing, albeit from a low base, and we expect the full year results for the Sun Bingo to be in line to be with the previous guidance of around a €20 million loss. Due to the mix effect, including a large contribution from Snai and TradeTech together with lower revenues from Asia, we expect group margin to be lower in 2017. And with that, I’ll hand over to Ron.
Ron Hoffman: Good morning, everyone, and thank you for coming. I’m very pleased today to present to you this morning the strong financial results of TradeTech Group, which reflect the significant improvement and progress we have made in the first six months of the year. The numbers speaks for themselves. As we indicated at the 2017 full year results, TradeTech achieved key milestones in 2017, delivering significant organic growth in conjunction with successful acquisitions, and I’m happy to confirm that this has allowed us to continue to deliver growth in the first half of 2018, delivering on our strategy which is aligned to the Playtech Group vision. Looking at the headline figures, we see significant growth on both actual results and on a pro forma basis. This demonstrates revenue and EBITDA growth in each segment of the business, presenting actual revenue growth of 37% to $67.1 million and actual EBITDA growth of 72% to $30.3 million, which includes the contribution of the TradeTech Alpha transaction. Similar impressive growth rates are also achieved on a pro forma basis after including the historic performance of TradeTech Alpha for the first half of 2017 prior to it being acquired by the group, with 22% pro forma growth in revenues and 56% growth in pro forma EBITDA. The numbers are also impressive when excluding the contribution from acquisitions altogether, with 22% EBITDA growth compared to H1 ‘17. This demonstrates the continued growth trajectory of TradeTech across its different business segments, and we are confident this trend will continue. As can be seen from the results, we have delivered significant margin improvement in the business. This has been driven by increased efficiencies and economies of scale, where incremental top line growth is delivered at a higher EBITDA margin. This is very much in line with what we have reported at the 2017 full year representation, 2016 full year presentation and has continued further into 2018. Our B2C business operating the markets.com brand enjoyed strong top line growth of 34% to $28.1 million in the first half of 2018. As can be seen from the table, this was driven by a significant increase in B2C trading volumes of 52% to 132.3 billion as customers trade more, appreciating our unique B2C offering and trading tools. During the first half, as preparation for the new measures issued by ESMA, we decided to take a more prudent approach in acquiring new customers in the period with more moderate marketing spend under the view that there may potentially be economic changes in the core financial metrics which may evolve in changes to both customer lifetime value and, accordingly cost of acquisition across the sector. This resulted in slower growth in number of new customers in the period while in parallel enjoying significant growth in activity from existing customers of 32%, showing increased interactions and trading activity of our customers as we continue to invest in our product, service to customers and overall offering, which I hope you managed to be impressed by when we presented during our TradeTech Investor Day earlier this year. The increase in trading activity by customer is a true reflection of our delivery on our strategy to make markets.com the home for traders, driven through continuous development and expansion of tools and capabilities to our customers base through unique propositions, features and knowledge base. Moving on to the B2B segment of the business. As can be seen from the table, H1 ‘18 has shown significant growth on both actual results and on a pro forma basis, showing the true growth trajectory of the underlying B2B business. TradeTech B2B business is -- has almost reached an impressive $1 trillion in volume from B2B customers in the reporting period, reflecting an annual run rate of approximately $2 trillion, representing pro forma growth of 55%. These strong results are a reflection of how well TradeTech is positioned in becoming the provider of choice to brokers, which is in line with Playtech’s consistent B2B strategy. Our unique technology offering, risk management, liquidity and execution is what drives the growth to our B2B segment and becomes the engine for TradeTech’s future growth in 2018 and beyond. The CFH and TradeTech Alpha acquisitions complemented the existing front-end and back-end technology to cater for a complete and holistic solution to brokers, enabling them to enjoy a full suite of products from a unique trading platform and CRM system to liquidity control, risk management capabilities, real time risk applications and more. Revenue per million of volume traded on our B2B segment has decreased given the change of revenue mix from the different B2B business offering as accelerated growth was made in the liquidity execution and risk management services within the period. TradeTech strategy is to continue and establish its capabilities across the entire value chain in the financial trading sector. The combination of Alpha’s capabilities, its technology and risk management expertise together with CFH being a well-established Tier 1 liquidity provider and its best-of-breed liquidity control technology further combined with Markets’ technology on marketing, back office and unique trading platform offering positions TradeTech Group as a significant B2B provider with a unique turnkey offering to brokers. Moving to my last section before I hand over to Mor for the gaming, strategic and operational review. As we have consistently stated, TradeTech, being part of Playtech, has significant experience, governance procedures and balance sheet strengths to continue to support regulations and remain both commercial and compliant. I also want to reiterate that TradeTech is extremely supportive of the regulatory improvements we see developing across the industry. We believe that this will continue to drive an improvement in the reputation of the industry and continue to attract new customers. We believe the new regulations introduced by ESMA, which are effective from the beginning of this month, will assist in the transition of the industry to a more responsible arena for B2C customers. With respect to addressing the commercial impact of these just-now-introduced changes, we believe it is simply too early to come to any conclusions. We are naturally assuming a short-term impact to our B2C business in Europe. With that being said, we will have to be slightly patient in order to evaluate and analyze how these changes are impacting customers’ trading behavior, volumes, level of deposits, pricing reaction in the market and more. Lastly, I’m pleased to report that we now on both an Australian ASIC license and a South African local FSB license, establishing the foundation for future expansion in these jurisdictions for our B2C business. With that, I will now hand over to Mor for his operational and strategic review.
Mor Weizer: Thank you, Ron, and good morning, everybody. Thank you for coming today. Turning to Slide 29, you have held this morning from Alan and Andy about the important progress Playtech has made in the Gaming division. Clearly, the changes experienced in the first half of 2018 in the Chinese market are frustrating for our shareholders, and we will today look to clearly explain what has happened and how we have responded to cement our position in that market. We have always taken a risk-based approach in Asia, believing that the opportunity to capture the high levels of cash generation offered by activity in the region would ultimately allow us to execute our strategy to invest in developing products and capabilities that would deliver us an advantage in key regulated markets. Turning to Slide 30. You will see the Playtech principles reflected in the progress delivered in the first half of the year. The execution of our strategy continues to deliver growth and progress in regulated markets. Gaming revenue increased to 65% in the period with a contribution of less than 1 month from Snaitech. Taking into account the current run rate and guidance for Snai and the inclusion of a contribution from Snai in the second half, our project regulated revenue for the group will be in between 80% and 90%. This fundamentally changes the investment profile of Playtech. Looking at the progress in the business, excluding Asia, it is clear to see the business returning to a strong organic growth profile. This is evident in the casino vertical which saw an 8% increase in revenue, excluding Asia, following the launch of new licensees in 2017, such as in Spain and Finland, as well as the continued growth experienced across our licensee base in key core markets, such as the U.K., Italy, Mexico and others. The growth of the business, excluding Asia, is a testament to the strategic advantage Playtech enjoys in its target key markets. Playtech delivered a further progress in these markets in H1 with new licensees in Latin America, key European markets and in the U.K. -- key U.K. market. Sports will be a key growth driver for the group in these core key markets. In addition to the growth delivered from OPAP and the new agreements in H1, there is significant opportunity for further new agreements in Europe, Latin America and also the U.S., which we will look at later in the slides. Turning to Asia. Asia is a unique market. The players are more superstitious and often suspicious in nature and, therefore, have a strong affinity with brands and images. Player trust in operators and content providers was key to the success of the operators. Accordingly, many operators lead with content providers’ logos, such as Playtech, on their websites. This has led to the games area in the Asian market being content provider lead, where players will choose between content providers’ logos, in the past, Playtech and three or five others, and then be taken to a selection of games in a dedicated area within the site, very, very different to the structure of the market in more regulated markets, where operators offer a variety of games on games-lead pages rather than logo- or brand-lead pages. It is also a very price-sensitive market, given the culture and the nature of Asian sports betting, which operates on a lower normalized margins, yet significantly higher turnover. For a number of years, the market grew rapidly and operators offered a limited number of content providers on these websites, where Playtech enjoyed a prominent position. As the market developed, it has become increasingly competitive at the operator level and operators who are traditionally very sensitive to pricing needed to find ways to improve their declining margins. At the same time, regulated markets continue to become more competitive with high cost of taxes and operational costs hitting content providers in their traditional markets. Our success and other companies’ success did not go unnoticed. And in recent months, we saw various public and private companies indicating the intent to extend to Asia, which only incentivize smaller content providers to do the same. As the cost of extending into Asia is limited for content providers and given the attractiveness of the margins and cash generation, we saw an influx of new entrants in the more cash-generative market in recent months. In addition, launches of new content providers were executed in batches within a short period in order to address the suspicious nature of the market. The content-provider-lead structure of the market and, specifically, the fact the websites now offer the logo of many alternatives meant the influx of new providers very quickly impacted market share for providers like Playtech. There may be now 30-plus content providers, where a short time ago, there had been 5 or 6. Moving to Slide 32. The content-only model is mirrored in the structure of commercial agreements in the region. Due to the highly fragmented nature of the market in Asia, which relies on multiple distributors to reach the many smaller operator websites, Playtech functions out of a base in the Philippines and is licensed as a B2B service provider under the Philippine regulator PAGCOR. Playtech mainly operates through a third-party distributor with extensive knowledge, expertise and experience in Asia to reach content aggregators, sublicensees and operator websites. This is outside of the Playtech core model, and although our content is presented in dedicated areas of the websites, these websites take content for many sources and content providers. This makes the relationships less sticky compared to Playtech’s licensee relationships in more developed markets and the licensee relationships we operate directly in Asia with large global operators. The increase in new market entrants in Asia saw the development of a highly competitive pricing environment. This has incentivized operators to place cheaper content providers in more prominent part of their websites. Although we expect the increased number of competitors to now be part of the landscape in Asia for the long term, management does not believe the current pricing environment is sustainable in its current form. Accordingly, Playtech has taken the decision for the time being to maintain its pricing levels in Asia and instead has focused its rapid response on underlining the premium position of its content offering in the region. Playtech has launched more new games focused on unique content and increase the support given to partners in the region for them to offer another key Playtech strength, progressive jackpots. We have also run more joint promotions and added other incentives to drive growth. All of that has resulted in activity levels stabilizing for us, and we intend to extend the plan with further initiatives this year. Looking in more detail at how we work in the Asian market. The drivers behind the changed landscape in Asia are multifaceted and are not caused by Skywind or any other party. However, it is important to clarify our commercial arrangements with Skywind. We continue to work with Skywind as a partner and benefit economically from the relationship, which dates back more than five years. Skywind has been part of the content provider landscape in Asia during all their time. The relationship has been of mutual benefit as we get access to additional content and receive an additional incremental revenue stream. During the period, one of the aggregators in Asia incorrectly labeled Skywind as Playtech S. Neither Playtech nor Skywind were aware of this, and as soon as we aware, we worked together to take it down. Looking at the full history. In 2011, Teddy Sagi acquired a company called CTXM which later became known as Skywind. At the time, the company was primarily focused on what was a rapidly expanding social gaming market, albeit Skywind did continue to support and maintain its relationships with existing real money gaming customers. In the second quarter of 2012, it was announced that Playtech had taken the decision to work with Skywind on social gaming as well as to gain access to its gaming-related services. It had considered as you are aware an option to acquire Skywind at that time, but we deferred to a wider shareholder view that a contractual relationship was preferable. The contractual agreement provided Playtech with access to a wide range of both social gaming and the real money gaming software. This agreement has since been replaced from 2016 by new contractual arrangements, which excluded the social gaming assets to reflect our strategy to scale down our social gaming related activities. The addition of Skywind games to Playtech’s portfolio extended Playtech’s market leading position in Asia through a number of and quality of games available. Playtech also agreed with its Asian distributor that it would start to distribute Skywind’s games using the Playtech technologies stack. This collaboration made a significant contribution to the revenues of all parties involved, and Playtech has enjoyed significant incremental revenues from Skywind games. Based on that successful partnership, the agreement has also been subsequently updated to cover a wider global distribution channels and add to our additional revenue streams. We reiterate that we were not aware of the Playtech S issue until it was brought to our attention, and it was spotted on a corporate site of one of the aggregators that provide services to operators, not the operators’ sites. We immediately engaged with the relevant third parties involved, and Skywind worked with us to demand the removal of the Playtech S logo from the third-party website identified, and it was quickly removed. We took measures to try to ensure that the misuse of our brand by third-party aggregators and operators seized while at the same time recognizing the sensitivity that we, as a content supplier, are reliant on these aggregators and operators to drive our business. We together with our distributor and Skywind have taken positive steps to be extra vigilant in monitoring sites to try to prevent the same or similar incidents from occurring as well as engaging with aggregators to ensure they recognize the need to distinguish between Playtech and Skywind distribution channels and, indeed, those of any other third party. As outlined earlier, Playtech’s approach is to focus on cash generation in unregulated markets, and on that basis, Asia still remains a commercial market for Playtech, and we believe the steps taken have stabilized our position. Returning now to look at the Playtech strategy in more detail and how we will continue to develop our advantage in regulated markets and deliver future growth for shareholders. Looking at scale and distribution, Playtech currently enjoys unrivaled scale in the gambling industry. Playtech’s scalable technology allows it to distribute its software and services across more than 140 licensees globally, reaching end customers in the retail and digital environments with one single customer experience. Our strategy is to continue to partner with and invest in the leading B2C brands in the industry with a focus on high-growth regulated markets. In addition to the new licensees wins in key markets, the landmark acquisition of Snaitech delivers a significant strategically important distribution network in one of Europe’s largest markets. In addition to signing new licensees, Playtech was able to increase its distribution capabilities in H1 through the continued expansion of GPAS. GPAS has been developed with the aim of continuing to evolve the way that gaming content is designed and created, ultimately extending the use of Playtech’s technology across the industry and increasing the scale and the reach of Playtech’s platform. The period saw Playtech extend the reach with 15 existing licensees that now use GPAS, with those not live in H1 launching later this year. Importantly, Playtech continues to leverage its position in scale by extending its jackpot network that paid more than €230 million in 2017 alone, increase the portfolio of branded content and increase its bingo and poker liquidity pools that still represent the largest independent liquidity pools in both verticals. Moving to look at the use of data. Playtech’s unrivaled scale also delivers an unrivaled ability to accumulate gaming big data in order to power the intelligence services and capabilities within the IMS platform. Playtech IMS delivers services and capabilities which are essential in highly competitive and regulated markets, where the focus is on player acquisition and retention but also responsible gaming. In H1 2018, Playtech launched its new player engagement platform as the next phase of IMS development to allow real-time in-game live messaging across multiple channels driven by machine learning algorithms. An important part of the new engagement platform has been the ongoing integration of the industry’s leading responsible gambling technology provided by BetBuddy, which was integrated into IMS in the first half. From the third quarter of this year, BetBuddy risk ratings and data analytics will allow B2C brands to respond to user behavior and communicate in real time with end customers, creating a safer and more efficient customer journey. Innovation is a central part of the Playtech strategy. And we -- and as we have outlined above, innovation drives the use of data as well as allows Playtech to increase its distribution and scale. In the first half, Playtech’s continued innovation delivered 32 new casino games, including integrated content specifically designed to foster sportsbook cross-sell during the 2018 World Cup. This included the Sporting Legends progressive jackpots suite across the Frankie Dettori, Ronnie O’Sullivan and Football Stars games. Turning to Slide 34. We will look in more detail at the markets Playtech has identified as key, offering the potential for significant online market growth and have the potential to increase their online penetration and where Playtech’s regulated markets focused capabilities have an advantage. The U.K., alongside Italy, is a key market for Playtech, where the strength of Playtech ONE provides it with a strategic advantage and a cornerstone presence in the market. The company’s extended agreement with Gala Leisure to launch a new omnichannel gaming brand across retail and online bingo and casino confirms Playtech’s market-leading position as the technology partner of choice in the U.K. In Poland, Playtech was selected by Totalizator Sportowy, the Polish National Lottery provider, to launch its first online casino offering under an exclusive license in the country. From 2017 to 2020, Poland is estimated to experience online growth of around 19%. Currently, online penetration levels are below those of more established markets like the U.K., and Playtech sees considerable potential for this to grow. In Portugal, the sports division won a landmark agreement to power the country’s largest betting and gaming operator, SAS, and SAS’ new sportsbook, with online casino that will follow in 2019. Within Europe, there are also markets such as Finland and Sweden which already enjoy high levels of online penetration but also offer attractive potential growth rates. Markets yet to be fully regulated are marked on the slide in italics, and Playtech expects progress in regulation and potential new licensees in these markets soon. Latin America remains a key growth territory for online gaming. Mexico is now one of Playtech’s top 5 regulators markets by a player jurisdiction. This is following the growth of licensee Caliente which in the first half of 2018 extended its relationship with Playtech by integrating the Playtech BGT Sports sportsbook into the existing Playtech casino offering. Not only do we strongly believe that Caliente will continue to show significant growth, but new prospective licensees are also expected to choose Playtech as partner in Mexico, given this latest example of how we help our licensees, our licensees drive incremental growth. The strength of operations in Latin America positions Playtech well with the potential significant markets of Peru and Brazil currently reviewing regulations and representing significant opportunity. Looking now to Slide 35. Recent regulatory changes in the U.S. represent the chance for the U.S. to become a significant future market for the group. On the next slide, we will look in more detail about the continued progress Playtech is delivering in sport through PBS. In terms of the opportunity in the U.S., the capabilities of PBS position Playtech with a compelling offering. Playtech sportsbook is ready now and is already one of the largest traders in U.S. sports due to our activity in Mexico, whose most popular markets are U.S. sport markets, as well as PBS’ unique retail sports betting solution for SSBTs and over-the-counter activities. As has been widely reported, we are in the process of acquiring a license in New Jersey, and this is progressing well. Playtech BGT Sports is currently the leading provider of SSBTs in Europe and has approximately 40,000 retail terminals in place globally. Regulation in the U.S. will not be straightforward and will evolve overtime on a state-by-state basis. PBS scalable technology affords Playtech a strategic advantage in the young developing market. Our omnichannel capabilities will be essential to the long-term opportunity in the U.S. as, although the market will be retail-lead, now Playtech’s technology can be applied state by state by a single operator using a single technology stack. The PBS technology afford Playtech strategic optionality as with Playtech’s broader approach in the gambling market giving them the capabilities within the technology stack Playtech deploy its model at any point of the B2B to B2C value chain. Playtech is currently in active discussions with a number of parties and can apply its model via joint ventures, B2B licensing deals or more structured agreements and can do this with land-based casinos, existing international clients, media groups. Watch the space. On Slide 36, we will look in more detail at the progress in PBS. PBS approach is focused on 2 areas, increasing its distribution through the extension of existing relationships and the signing of new licensees in Playtech’s key target markets. The period saw PBS deepen its relationship with OPAP as it continued the rollout of SSBTs and OTC points of sales across OPAP’s 12,000 bet entry points across Greece. In addition, the PBS online sportsbook went live with SAS in June 2018, ahead of the World Cup, and in its first month of trading, SAS acquired 20,000 new registered first-time depositors. In the key target market of Latin America, PBS continues to help cement Playtech’s position with the new Sportium agreement and progress with Caliente. PBS continues to develop new innovative content to drive incremental revenue for its licensees. As outlined on the previous slide, PBS saw its number of terminals grow by 48% in the first half to approximately 40,000. Following the integration of PBS with the Playtech’s IMS platform, PBS is able to offer an omnichannel sports product across retail and online that is unique to the industry. Track my SSBT bet and cash out functionality is now available across all operators globally, either through integration with the operators own app or through the PBS Bet Tracker product. Moreover, in time for the 2018 World Cup, PBS launched its new Match Acca product across retail and digital sportsbook. Moving to look at the opportunity in Italy with Snai in more detail on Slide 38. Playtech announced the acquisition of Snai in April, and at the time, it was widely anticipated that the political parties that formed the current coalition government in Italy would form part of any future government. Playtech has significant experience of driving growth in the highly regulated UK market, and Snaitech has considerable understanding and experience of working with a regulator in Italy. As outlined above, Playtech’s technology delivers us and our partners an advantage in regulated markets, and management believes that the combination of the Playtech and Snaitech businesses can realize shareholder value and execute on the significant opportunity for online growth in the current market dynamics. As you may already be aware, the regulator already passed laws to lower the number of AWPs to less than 265,000. Snaitech announced at its interim results earlier this month that it is on target with a reduction of its machines, and the reduction has resulted in less than 1% decrease in gaming machine wagers. As part of the recent Dignity Decree, Parliament gave final approval in August for an advertising ban for all form of gambling, which will be fully active in July 2019. Part of the rationale for the acquisition of Snaitech was the strength of its retail network and resonance of the Snai brand. Management believes that the ban on advertising will facilitate market consolidation in the fragmented online market with companies with a retail brand and presence set to benefit and gain online market share supported by Playtech unique omnichannel infrastructure and methodologies. In other words, online-only operators who has a significant market share between them will find it hard to impossible to acquire new customers and over time will find it hard to maintain their brand recognition. As part of the decree, an increase in gaming machine taxes was also proposed, totaling 0.5% by 2019. This would have an impact of €6 million to €8 million on Snai EBITDA, which equates to between 1.5% to 2% of group EBITDA on 2018 consensus. Moreover, there is further potential regulation in the pipeline in Italy that could potentially play to Playtech strength. ID cards for all gambling are being potentially planned for 2020 in Italy. Omnichannel retail and online account cards are an important part of Playtech’s offering. And Playtech’s capabilities in responsible gambling and regulatory reporting software benefits Playtech and its partners in all regulated markets. The changes in bingo regulation in Italy are a potential positive for Snai and play well again to the Playtech’s strength. New bingo laws have deregulated the product vertical in Italy, and now Playtech can utilize its strength in bingo by offering more games in Italy as more power has been put back with the operators. As well placed for the incoming regulations and any potential future changes, the power of the Snai brand in Italy means it is well placed to capitalize on the potential growth of the online segment in Italy. When looking at the Snai new players numbers from 2017, 49% of the newly acquired players came directly to Snai rather than driven by marketing or cross sell. Playtech has a proven track record leveraging powerful retail brands using its omnichannel technology and approach to drive new online customer acquisition through the retail channel, where, currently, Snai only derives 20% of its new online customers from in 2017. Moreover, looking at the NGR derived from new customers in 2017, we can see that customers acquired online produced more NGR. This is a statistic which is supported by Playtech’s own experiences in the U.K., where it found that omnichannel players acquired through retail were worth more than 2x the player value of single-channel customer and also worth more than customers acquired through other channels. Also noted at its interim results, Snai reported that it had enjoyed a strong World Cup campaign, growing its online market share to 11% before any impact from the Playtech integration. Turning to Slide 39 to review the update on the Sun Bingo agreement. As Andy highlighted in his slides, we have seen pleasing momentum in the Sun Bingo business with a 27% increase in revenue in the first half of 2018. The improvement in performance is a culmination of the steps taken previously to change the management team and deliver more targeted and efficient marketing techniques. While the business performance is much improved, the contract is still loss-making due to the structure of the agreement. Negotiations with News UK are ongoing. Playtech believes that the new agreement currently under negotiation will benefit both parties by incentivizing Playtech to continue to grow the Sun Bingo business and deliver a positive ROI for Playtech. Negotiations are taking longer than previously indicated following the -- following News UK’s review of its strategic options regarding the Sun Bets business. While there is no certainty at this point in any outcome, following the much improved performance of the Sun Bingo business and its future potential, Playtech believes there is an opportunity for both businesses to reach a mutually beneficial agreement. Looking at the current trading, the operational progress reported in H1 2018, we’ll see the positive earnings momentum in the regulated business continue into the second half. In the first 53 days of Q3, revenue, excluding Asia, was up 6% on a like-for-like basis following the organic growth in our regulated B2B Gaming business and also the strong start to H2 from Snaitech. Operationally, we also expect to see further progress with a potential for a resolution in the renegotiation of the Sun Bingo contract and, furthermore, the negotiations with GVC to extend the current agreement to include GVC brands progressing well towards a mutually beneficial outcome for both parties. Finally, for today, we would like to extend you all an invitation to come and meet the SNAI management team in Milan for our next Investor Day to be held in November. As well as their teaching on the Snaitech business model, we will present an update on the integration process and the future plans for the business. In addition, there will be presentations on the wider gambling business, and it will be an excellent opportunity to spend some time with group management. I’ve been working on my Italian, so I will be able to give you some tips. We look forward to seeing you all there, invitations will follow in due course, obviously. With that, we will now take questions.
Q - Ed Young: Ed Young from Morgan Stanley. I’ve got three questions, please. The first of all is on the growth rates. Can you give me an idea of what the medium-term constant currency like-for-like sustainable growth rate is for non-Asian business? If the growth rates you brought in Slide 32 are any guide, you’re looking at probably high single-digit growth in the underlying markets as an underlying exposure [indiscernible] got new business on top of that. But the H1 figure was about 7%, the current trading’s about 5%, you talked about new licensees ramping up as well, maybe that’s just a little like-for-like growth in Q3. So can you give us some idea and some confidence over what that should look like on a sustainable basis?
Andy Smith: I mean, if you think about the non-Asian business, it’s split into two halves, in fact you got the U.K. side of the business and the non-U. K. I think we all know that the U.K. growth rates are mid-single digit, I don’t know what number you have, and I think most people take somewhere between 4% and 6%. And I think that, that’s a reasonable starting point. Outside of the U.K., because it tends to be the newer, high growing -- faster-growing markets, markets potential we haven’t seen and been in before, like, for example, what we’re seeing with Greece and Mexico. I think the numbers should be higher than that. It could be approaching 10%, but sitting somewhere between 5% and 10%. So I think if you blend the two together, you’re looking at a sort of mid- to high single-digit sustainable growth rate. I think you’re taking something around the -- anything between maybe 6% and 8%, it feels like a reasonable starting point. So if you do have a greater -- a bigger number of licensee wins or typical -- potentially would be a year where you get more markets opening up, take to, say, some of the bigger markets, Brazil would be a very good example. It could even be higher than that, but I think that’s a decent starting point.
Ed Young: Okay. And on -- second on China, I don’t expect to give me the exact figures, but can you give us an idea of the quantum, of the gap in pricing between Playtech and its competitors? And why do you say it’s currently unsustainable? What’s your basis for that? Do you think your offer there is -- you set your position as a premium offer. Do you think it’s currently premium? Or do you think that’s what you’ll be once you put some of the capital investment in?
Mor Weizer: Yes. So I would say, Playtech, traditionally, was always more expensive not only in Asia, by the way, but given the quality of the product and the popularity of games, basically, it supported that. I would say that today you have a wide variety of -- a wider variety of choices. There are more content providers and each and every one of those, basically, have a different mode, a different pricing mechanism. I don’t believe this is sustainable, given what we experienced in the last so many years, given the scale that you need to support and given the costs associated with operating such business. And accordingly, I would say that it varies. It’s hard to estimate. We, at times, vary. By far, more expensive, and the time, slightly more expensive. However, as I indicated before and as I indicated earlier in the presentation, we put a plan in place that will be further extended later this year. I’ll talk about that in a second, but we already put a plan in place immediately responding to the changing dynamics in the market. And this happened sometime ago, earlier this year. And this plan meant that we participate in promotions. We probably had, for the first time, a screenshot of our Chinese facing offering looks like. You could see that it’s very, very different what with -- when compared to what you find in the U.K. or other markets across Europe or elsewhere, to be honest. And accordingly, we probably -- we started, we have a plan in place, we participate in promotions, and we also incentivize operators for growth. We believe that we stabilized the current level of activity. This is based, obviously, on the performance since the profit warning. And just before that, it basically went down and started -- and it stabilized. And this current level is actually stable at a level since, I would say that, the participating in promotions and incentivizing operators for growth is the right thing to do. We -- it will be further extended this -- later this year, and we will give more incentives, not necessarily financial, in order to support the premium position of Playtech. The fact that we determined that we do not want to engage in a pricing war, and the fact that we consider it -- the Playtech offering as a premium product, is not coming from Playtech, it comes from the operators and aggregators that we had a conversation with, and they actually insisted on keeping Playtech as a premium product, there is the reason for that. The reason being is that we always indicated that we only work in China or with customers that operate into China or target the Chinese market, and there are only a handful of those. So it’s less than -- it’s around 12 distributors, obviously, the market is, by far, more fragmented than that. Obviously, working with 12 distributors that have a premium product that others don’t, allow them to take a higher margin from the operators that operate under their own license and protect Playtech’s position. So the premium product is not just the view of Playtech, it’s the view of the market. It’s supported and evident by the level of activity, and also supported by the view of our key partners in the region that indicated to us that, actually, the right thing for Playtech is to extend the offering rather than give a discount in order to -- but at the same time, obviously, all of that in order to support the premium position of Playtech.
Ed Young: And just one follow-up on that, please. Given all you said about aggregators, distributors, all the detail you gave in the presentation, I’m struggling to understand how the revenue concentration hasn’t changed at all. In your appendix, you’ve got the H2 ‘17 meets H1 ‘18 numbers, and they’re exactly the same half and half. It seems counterintuitive if you had an Asian revenue drop and those aggregators, [indiscernible] one of the top customers, as you defined them. So can you just help me understand what the moving parts are there?
Andy Smith: Yes, income is split out. For the concentration, we put out the aggregator. So you don’t just get one big number that just drops because it’s a loss of little ones. And if you think about the customer concentration, if you have one that drops and there’s probably one that replaces it, so the overall mix composition doesn’t really change. It’s just that the people have -- will have moved around within that. But if it still confuses you, we’ll look at the exact breakdown there.
Ed Young: And then my final question and I will stop is on the services. You said Asia’s a content-only market, but services revenues down heavily, mainly, you say, because of weakness in unregulated markets. So can you help explain what weakness in services, please?
Andy Smith: Correct. There will be some within Asia, but then there will be as well -- Australia’s a good example as well.
Gavin Kelleher: Yes. Just a few from me. Just on sports, obviously, high 20s growth in H1. Can you just give us any sort of sense on what that is, excluding the World Cup, and then how OPAP came on stream during H1? I’d like just to get an underlying sense of how sports is performing. And just on current trading, B2B gaming down 13% to 14% in the first 52 or so days in H2. When do we exactly lap the issues in Malaysia, so we should see that improve as we move to H2? And just on Snaitech and, obviously, you’ve kind of highlighted 6 million to 8 million of incremental taxes next year and, obviously, you were heading the advertising ban, that’s a potential benefit there for you guys. How should we think about Snaitech profitability into 2019?
Mor Weizer: I’ll do this in reverse other than if you don’t mind, on what maybe [indiscernible] sports as well. On Snai next year, if you look at the pull it for or pull it guidance I gave before we acquired them, they had 160 in 2020. The consensus for next year was around the 145 to 150 level. Now as you say, you’ve got the headwind on the tax but, by the same token, with the businesses performing very, very well. The advertising bank could be a benefit and also there will be some just coming through. I think keeping that kind of number, it makes sense. So somewhere in the 140 to 150 range for next year. We started Malaysia, it’s around at the end of this month to start of the next month. So I think we said that we lost it for around three to four months, the back end of last year. So we’re heading towards [indiscernible] it now. On sports, OPAP will have been in there for pretty much the entire half, which was a fair -- clearly, a very big boost. On the World Cup, let me do some work on that. It’s difficult, Gav, to actually work out the World Cup fed because you, actually, you have to make some assumptions. So I’m not saying it’s total guesswork, but there is a bit of finger in the air which always makes me slightly nervous giving that number, but I’ll get back to you on it.
Gavin Kelleher: Sounds good.
Unidentified Company Representative: Go. Sorry, Gavin.
Gavin Kelleher: Just on Q2, I think [indiscernible] 12% in the Gaming business [indiscernible]. Is there anything -- and we all expect this -- just a non-Asian [indiscernible] the 12% [indiscernible]?
Andy Smith: No, that was nothing in particular. Sorry, I actually got, there was one thing. There was a slightly softer sports comp from last year. It was a reverse boost.
Alistair Ross: Alistair from Investec. Just a quick one on the back of Ed’s question. The customer concentration figures, clearly, H2 ‘17 pretty much identical to H1 ‘18. In terms of the profit warning, if you call it that, you’re telling me that none of the top 15 customers impacted your profit warning, essentially, because your customer concentration metrics I mean, as far as I understand, profit warning happened sort of end of Q1. So it is totally counterintuitive, so...
Andy Smith: It’s the same question, though, that Ed just asked. Well, if it’s confusing people, we’ll break it down. But don’t forget, if you go let’s say the aggregates have -- you understand the point. I do understand it, but one will have just -- I think I believe, one will just replace here, but we’ll have a look. Just can you get some growth from underlying this some sort of -- for example, Caliente, for example, will have grown, so that changes it as well. So there’s some little jobs, some little trade, the overall mix won’t abut, what happened was -- we’ll have it and looked it out. And while it may be that if it’s confusing people, we provide it, but roughly with the names x-Ed out, but then you can see the relative contributions, but we’ll check it.
Alistair Ross: Yes. It definitely needs to be looked at. I mean, just given the quantum, your top 15 customers comprise 68% of revenue, it doesn’t make sense still. Can you explain why the BGT earn out is 50% of the max? Is that just because the earn out is so excessive? I mean, BGT’s performance looks phenomenal in your presentation.
Andy Smith : Stretching targets.
Alistair Ross: Stretching targets. And what proportion of revenue in BGT comes from the U.K.? And how worried are you about the [Indiscernible] review, etcetera?
Andy Smith: [Indiscernible] review, and I’ll take the number.
Mor Weizer: So as for the [Indiscernible] review, actually, as you know, it’s about the -- about 40s. The recent argument that -- and this is supported with certain changes that happened before in the U.K. market that, actually, shops that will close, given the fact that there is no restriction on the number of SSBTs, but there is a restriction of 40s per shop that we will not lose the SSBTs because the SSBTs will actually be moved to shops that will remain open. And at the same time, the other assumption that we have, which is commonly agreed in the -- across the industry is that, actually, some of the customers will shift from 40s to SSBTs. So as a matter of fact, reality shows or at least the data that we have and given what happened before in the U.K., when there’s a -- there were other certain restrictions on 40s, the SSBT activity, actually, increased. So we believe that a few things will happen with the [Indiscernible] review, not just to do with sports. We believe that two things will happen. We will see the customer shifting from 40s to other formats of gaming and betting within the shop, and we will see the levels of activity of sports increasing, and at the same time, obviously, the [Indiscernible] review only incentivize on retail operators to grow their digital activities or, basically, refer customers to online -- their online offering. Again, if -- I remind everyone, we work with the most well established operators, the likes of Ladbrokes Coral, William Hill, Paddy Power and many others, many of the independent bookmakers. And accordingly, we believe that our exposure in the U.K. market is such that we will not only benefit from the SSBTs, where we will see increased level of activity, but also given the fact that online remain -- online betting and gaming remains -- will remain more attractive, a lot of the activity will be referred to the online channel where we supply them with casino, poker, bingo and at times, even sports.
Andy Smith: I’ll just come back to the U.K. number, I’m -- I was trying to think back to what number we gave when we bought the business. I think at that time, the U.K. was around two thirds of the business. I will say it’s, probably, about half and half now. And just to put some numbers around that, I think at the time we bought it, EBITDA was somewhere in the 20s, low 20s from memory. I’m not going to give the exact number, but in terms of concerns at the moment, I think people got around €40 million of EBITDA in there, so you can say it’s, actually, €20 million U.K. and €20 million outside.
Alistair Ross: Just in terms of B2C overall, I mean, one, why on earth would News of the World negotiate the contract that you have? I understand the minimum guarantee to be higher, etcetera, but why on earth would they negotiate that contract, they’re busy earning a minimum guarantee? It just doesn’t make sense to me why that giveaway economics. But also just on that, your B2C margin, I think it was about two years ago, maybe 1.5 year ago, I think you’ve said that you thought B2C could normalize at a margin of about 25%. I mean, it’s still loss-making, so slightly concerning. Why would you continue with that business at all?
Mor Weizer: Yes, because the performance is actually very strong. We still believe in the Sun Bingo business. We actually put a lot of efforts since -- I mean, in the last year. We are not magicians. At the end of the day, it’s all hard work, us being -- putting our hearts and efforts into that hard work and dedication. It took some time, but the numbers are now coming through. We indicated 27% in the first half. I must say that in the last couple of months, I did refer to the fact that the momentum continues but it is, by far, more than that. On a -- on the current run rate, it’s more than 50% growth year-on-year over the last 12 months. And accordingly, we believe that it’s -- it is heading in the right direction. Obviously, it’s our nature not to give up. This is how we are built, and we believe that the new arrangement with News Corp or with News UK will be such that it will be beneficial for both parties. I think that it will be beneficial for them because if we give up now and start fighting with them, they lose the business and we’ll not find a partner for this business. I think that if we continue and find common ground and an arrangement that will be mutually beneficial, it will become a win-win situation. Playtech, the contract we’ll -- we will be able to extend the contract, we will be able to have a positive ally. So we believe that it’s the right thing to do, and we are pursuing the two together with News Corp -- with News UK. There is no uncertainty.
Alistair Ross: Some more. Does the minimum guarantee come to an end?
Mor Weizer: Yes, yes, yes, absolutely. After five years, the minimum guarantee comes to an end. I remind everyone we started that three years ago, there are two years to go. And accordingly, there is a limited investment still required in order to cement the position of the Sun Bingo in the U.K. from an operational perspective and following the first five years, extend the contract for the longer-term, giving us the opportunity to continue growing the business and accordingly -- and basically change it to a situation where Playtech will have a positive ally, which will not been insignificant on this investment. And this -- and we believe that this is the right thing to do.
Alistair Ross: Sorry, just last one question. I’m sorry I’m taking so long. Just -- this is a question from an investor. Just -- can you explain exactly how a customer makes a bet in Asia? Is it via app, VPN, exactly how a customer makes a bet?
Mor Weizer: It’s actually very, very straightforward. They go on a website or they go on a mobile application. It’s not necessarily -- usually, it’s not in the app store or the Google store, it’s usually an HTML5, an application that is based on HTML5. And they basically navigate. You can see -- you can clearly see that while the landing page is very different, you can see that the menus are very similar. And accordingly, it is very similar to what you’ll find in the U.K. They register. They come in to the site. They register or they come in to the -- an HTML5-based mobile application, they register, they deposit money, they place a bet and then they withdraw.
Alistair Ross: So do you think that, that €150 million run rate revenue is at risk?
Mor Weizer: In what? What do you mean?
Alistair Ross: Risk of disappearing like we’ve just seen all of the revenue from Asia disappear. I mean, I know it’s competitive pressure.
Mor Weizer: I think that it is important to wait, right? We put the plan in place, numbers stabilize, current level of activities stabilize. Playtech remains the most popular offering in Asia. Playtech is considered a premium product again. It’s not me being arrogant, it’s actually the -- it is our distributors that insist that we keep it this way, and we think that we agree with them that this is the right thing to do. A lot of -- no doubt the business was reset in recent months, and it happened rapidly given the nature of the market. Competition increased almost overnight as 30 new content providers were established in the market. However, I think that now that it’s stabilized, I don’t see as many content providers coming into the market. I think that in some cases what people offer is unsustainable. And accordingly, I don’t believe that it will disappear. We indicated before that it has nothing to do with regulatory changes, it’s simply the changing dynamics of the market. I think people miss the point that we generated a lot, a lot of cash in excess of €1 billion in cash in Asia in previous years. No doubt, obviously, now a lot of competition came into the market, but -- and the business was reset at a different level, but I don’t believe that it will disappear. And we have all intentions and purposes to basically not only stabilize the activity, but to resume the growth in Asia. I’ll be very cautious saying that. Obviously, it has been stabilized or it has been stable for a number of weeks since the announcement, so I’ll will be very cautious, but given the plan that we have already -- that we already executed against and the fact that we intend to give more initiatives later this year, we believe that this market remains a commercially viable and commercially attractive to Playtech, and therefore, it is our intention, for the time being, to continue operating in Asia, and we believe that it will not disappear.
Victoria Pease: Victoria Pease from Edison. Just following on the News UK question. I’m just wondering with your negotiations, is it really about the minimum payment guarantee going forward? Or is there an element of having not paid the full amount historically? And is there a possibility of using some of the Sun Bets element? I mean, could you take on Sun Bets, would that be part of the negotiation?
Mor Weizer: Yes. As I indicated before, obviously, we indicated to the market that we are negotiating with News UK and it has been a long time ago or what -- we have done that for a period of time. As I indicated this morning, obviously, it takes longer than expected, given the Sun Bets element. Obviously, they parted ways from Tabcorp. They are now looking for strategic alternatives for this business. They are looking for a strategic partner, and this is an element now of the negotiation. So definitely there is merit in looking at Sun Bets and Sun Bingo altogether from their perspective, our perspective. Again, no certainty about the outcome. Although, it’s heading in the right direction. Can you clarify the question about the minimum guarantees? We paid for 3 years, there are still 2 years to go.
Victoria Pease: No, my understanding was that there was possible historic disputes about payments. I don’t know if you’re up to date with payments or you’re still disputing historic amounts that haven’t been paid.
Mor Weizer: I think that it’s inappropriate to basically refer to the contents of conversations we have in certain commercial arrangements and/or disputes, if they exist, with existing customers. And this is a general comment. And accordingly -- obviously, I think that -- I think what I would like to reiterate, is it’s heading in the right direction. I think that both parties acknowledge that it will be mutually beneficial to find a joint way forward. I think that the alternatives -- and this is my own personal view, the alternatives are worth for both parties. And accordingly, given the positive nature and the current status of negotiations, I want to keep it at this stage, and we will, obviously, have the market in due course. Like I said, it’s heading in the right direction. The time lines are such that we believe that it will happen relatively quickly now. Again, it may not be matter of days or weeks, but at the end of the day, I believe that we will come to an agreement and because, as I said, it’s mutually beneficial for both parties.
Ivor Jones: Ivor Jones from Peel Hunt. In Asia mode, do you think the market is still growing, and you’ve lost share because of these issues you’re talking about?
Mor Weizer: Yes, I know that the market is still growing, and I know that it is still growing, but not at the same pace it used to grow. If in the past operators saw 20-plus percent increase year-on-year, now they refer they basically, when I just came back from Asia a couple of weeks -- actually 10 days ago, and the conversations I had and I actually checked that ahead of our results, the market still continues to grow. They now refer to mid to high-single digit. What happened in the market is that we see by far more competition in the operator’s level, and at the same time, a lot of competition at the content provider’s level. So to answer the question, yes, there is still more growth. I mean, the market continues to grow, not as fast as before. And what happened with Playtech is that we lost market share. Remember, if you look at the picture we put in the presentation and you compare it to what it looked like less than a year ago, now you have 30 content providers or logos of 30 companies out there, while a year ago, less than 12 months ago, there were only five.
Ivor Jones: And just trying to work out the contribution from Asia. Andy, you said there were €25 million of direct costs attributed. But if it’s not the R&D and the security and its software sales, what are the direct costs?
Andy Smith: There will be some direct costs of R&D as well that I’ve specifically stripped out of that. There’s some centralized costs for R&D, for example, and then there’s some specific ones, say, for specification game. There’s some people on the ground in Philippines, for example. It doesn’t add up to a huge amount, which is why we get the 25 million number. But yes, there is clearly some -- I’ve stripped out some specific costs related to Asia. There’s also some centralized and some specific.
Ivor Jones: And then following-on on R&D, given all the things that are going on in the group, how was R&D down 14% in the half? And is that you managing profits and it needs to bounce back up again? Or are we now at a sustainable level?
Andy Smith: No, if you look at the actual cash number, it’s the same. It’s because the amount of capitalized R&D has gone up in the half.
Ivor Jones: So the cash burn that has remained the same. That’s great then.
Jarrod Castle: It’s Jarrod Castle from UBS. How should we be thinking about M&A now given that Snaitech is concluding over the medium term and kind of potential size? Secondly, any kind of color in terms of potential investment into the U.S. given the opportunity there and how you’re thinking about it? And then just coming back to costs, obviously, control coming through, but are you seeing any pressures in terms of staff in particular?
Mor Weizer: Yes, so on M&A, I will say that we remain a consolidator in the market. We believe that our balance sheet supports that. Obviously the balance sheet of Playtech is now by far more efficient. However, I will say Playtech has been very active with the three, actually four acquisitions only in the last or since the beginning of the year, in the first half of the year, and one of which was Snaitech, which is a strategic acquisition for Playtech or considered internally as a strategic acquisition, and then on top of the three bolt-on acquisitions. We obviously have the means. We have the appetite. But we also want to deliver on those acquisitions that we already did in previous years and earlier this year, and we are very, very focused on integrating those companies into Playtech. Obviously, we put a lot of efforts now into Snaitech, because we believe that there is a massive opportunity in Italy for us together with Snaitech. And accordingly, while I will not rule out additional bolt-on acquisitions, I think that those will be the ones that we will focus on going forward. Again, if an opportunity will present itself, Playtech is well-positioned to do that, and we will not hesitate and pursue that. But currently, our focus remains integrating the companies we acquired, with a strong focus on Snaitech, with some additional bolt-on acquisitions, small-sized bolt-on acquisitions we look at.
Andy Smith: In terms of U.S. investment, I think, over the next 12 to 18 months, you’re looking at a single-digit million number. Can you just repeat the question on staff issues, I wasn’t sure what you meant by that?
Jarrod Castle: Yes. I’m just wondering if there’s any kind of staff inflation coming through. A lot of companies are seeing that at the moment.
Andy Smith: No. Mike?
Michael Goltsman: Michael Goltsman from Citi. For any website to use a new content provider is a relatively big risk for them to take. Can you give us a sense with Asia, I mean, the quantum of the discount that’s coming in relative to your pricing and also, how your games are performing relative to the new content that’s come in?
Mor Weizer: Again, the quantum of...
Andy Smith: The discount.
Michael Goltsman: The discount.
Mor Weizer: Yes, as I said, at times, it’s actually very, very wide, and just to further elaborate or basically refer to the question Ivor asked, I think that you refer to the cost associated with doing business in Asia and there are some direct costs to do with security within an infrastructure maintenance. We’re talking about big scales. The market is very different. The market, as I said, is by far more superstitious and -- in nature, and superstitious and suspicious in nature, so people will not basically need uptime to be very, very high, close to 100%. And therefore, there are certain costs associated with that. And obviously, I think that it is extremely important to say that what we’re reporting in our accounts is after we deducted the cost of our distributor. So the distributors usually basically take a higher percentage fee and basically Playtech gets the vast majority -- the majority, not necessarily the vast majority, but the majority of that, but a lot of that is kept with the distributor. So what people charge today, they usually do that directly and therefore, they don’t use distributors. So their access to the market is limited as of yet. Obviously, they already exist in most aggregators and most operators, but we believe that you have to have a distributor, not only to gain access to the operators, but you have to have someone on the ground because the culture is very different, the nature of the market is very different and the time zones are very different. Also, we pay taxes and fees in the Philippines. Other still operate from outside of the Philippines, providing their services and products to Philippine-based licensed operators, which I think is not sustainable. To answer your question, again, as I said, it’s a wide variety of pricing mechanisms out there. Sometimes, you find companies offering low-single digit percentage fee, which I believe is not sustainable. Most of them are, I would say, high-single digit or between mid- to high-single digit percentage fee.
Michael Goltsman: And just following on from that. I mean, Playtech, to your point earlier, always had premium content and is known for having games that outperform website averages. How are these games that have come in, how they’re performing relative to your games based on your understanding?
Mor Weizer: Some content -- some of the content providers have a few good games, I won’t take it from them. And given the fact that you have now more than 30, then you multiply 30 by three to five good games for each and every one of those and you’re talking about a big number of games. However, given the fact that it is represented on the sites -- on the websites of the operators differently, it’s somewhat more complicated than that because once you go into a dedicated area, you have exposure only to the games provided by the content providers. I would say that Playtech remains very, very attractive, not just because the games are simply popular, but because we provide access, which is a very -- it’s a key and instrumental thing in Asia, we provide customers with access to the largest jackpot network available across Asia. We provide them with access to branded content that others simply don’t offer. And accordingly, we still believe that the Playtech product and the Playtech games are premium, not as a combination of popular games, branded content and jackpot progressive games. I can’t -- obviously, there are some other -- there are other companies that perform well. If I think about the performance of individual content provider, they represent today, except for Microgaming and a few others that are well established in Asia for many, many years now, which were already there before the new content providers established themselves, if I think about the new entrants to the market, they are a fraction of the activity of Playtech. And there is a reason for that.
Andy Smith: Just going back to the customer concentration point, I just a colleague check the numbers, I think they are right. I think the dynamic that -- what’s been missed is let’s take, say, Ladbrokes Coral, let’s pick a number. This isn’t exactly right, but it will round it easily, let’s say, they were 10% of our B2B Gaming. If that drops, say, then become 14%, for example, and then the others below that, they -- say, for example in Asia, they may drop, but obviously, the denominator drops as well. So they drop, but not by as much, you widen scale and on balance it all -- it comes out to the same number. Now I can break it all down, but it results to the new mean to the denominator, and the fact that ex Asia, there’s a bit growth in there haven’t changed against a lower denominator. So we’ll just come back to you, if that’s okay. Dave?
Dave Holmes: It’s Dave Holmes from Merrill Lynch. I just want to understand what the catalyst was? You said overnight, it went from five to 30 operators in Asia. And looking forward, why can’t that 30 become 50 and the competitive environment increases?
Mor Weizer: Yes. As I indicated earlier in the presentation, the reason for that is twofold. First, the market became increasingly competitive in the last 12 months for the operator level. So people saw the margins declining and seek ways to grow their business and actually realized that they need more content, a wider variety, a wider range of content provider formed by different content providers or additional content providers. Playtech can provide them with as much content, but they wanted to extend it beyond that, so we launched 35 new games, but they wanted obviously more games beyond that. And at the same time, we saw a very, very clear trend. I mean, you ask yourself how come within a year, after so many years that Playtech has been criticized for operating in Asia and everyone said, you should head to regulated markets, suddenly, you find the CEO of PokerStars standing on the podium and saying, we are extending into Asia. You’ll see the CEO of Evolution standing on the podium and publicly stating that they are going into Asia. You look at the marketplace, you’ll see companies like GVC, bwin.party extending through a distributor. You’ll see William Hill distributing their -- or they’re providing their brand names to be distributed across China. And accordingly, I think that it’s not a coincidence, I think that at the same time the operators in Asia saw the market becoming increasingly competitive, you find a lot of operators in Europe that find it hard to grow their business, given the high taxes, the high operational cost, the fact that they need to maintain a regulatory framework, they need to certify their games, they need to establish themselves in key core markets, regulated markets. Their margins there and their cash generation is very, very different, and they basically look for ways to extend beyond regulated markets to find this balance that we talk about for so many years, that you need to find the balance in an ever evolving and developing industry, you need to have a balance between a very -- a high growth, regulated part of the business, as we indicated this morning, 19% growth in regulated markets. And on top of that, or alongside that, some exposure to unregulated markets, which after the acquisition of SNAI will be 15% to 20% for us, where you generate high margins with high level of cash in order to invest back into regulated markets. So I think that the pressure we saw in regulated markets on companies, like the U.K. bookmakers and like Evolution and others, led them to believe that they need to establish themselves and follow the steps of Playtech, and they all did that in the last 12 months. In the last 12 months, I can provide you with screen shots using the archives in the Internet that you will find that most operators in Asia had 5 content providers. 12 months later or less than 12 months later, you now have 30-plus. This is the reality we faced. It all happened over a very relatively short period of time, because it was done in batches. Once companies like Evolution, like PokerStars and others indicated to smaller content providers, said, we want the same. They started engaging. Operators from Asia increased their profile. In the last ICE show in February, they all had a big booth. If you were there, you could see that there was a very big Asian section, not a U.S. section, there was a very big Asian section. Everyone who went there wanted to do deals and it started actually -- in February, we started seeing -- we started hearing that there are changes coming. Obviously, we haven’t seen that happening. The reason it happened so rapidly and not being asked about that in light of the profit warning, I want to clarify that. It started in February, people started getting and engaging. And then what happened, people started entering into agreements. Remember, the market is a very suspicious market. They couldn’t have a schedule -- even it is a scheduled downtime, you can’t afford having 30 scheduled downtimes in China. And accordingly, what they did, they launched their content providers in batches. So there were like 3 or 4, 5 depending on the operator or the aggregator, they had 5 scheduled downtime. And in each such downtime launched 6 content providers together. What happened since -- if you look at the picture we gave, what happens, if in the past, Playtech was 1 of 5 logos, suddenly there are 30, if a customer moves even just to try another game in another dedicated area under the logo of another company, you lost the customer in its entirety. Think about it, it’s all about the eyeballs of the customers. And this is why it happened so rapidly. Competition at the operator’s level, but also increased competition and some pressure on operators in Europe that led operators to seek additional content providers and content providers extending to Asia. I think it’s a good testament that what we did in the last three to five years, people criticize us now, and I can understand why, don’t get me wrong, right? People were surprised to some extent, but we surprised to some extent the market by the profit warning or the quantum of the profit warning, albeit, we indicated in our AGM that we see the market changing. We could only quantify it when we announced, but obviously, it surprised people, but people could have -- basically, the conclusion you come to is that we just need Snaitech, business performs well, regulated revenues grow and outperform most of our peer group and at the same time, we are still left with a very cash-generative, high-margin business that contributes a lot of cash that will allow us to further establish our presence in regulated markets. This is before the performance of Snaitech, which showed 20-plus percent increase in EBITDA. This is before 58% EBITDA growth of TradeTech. Playtech is in a good position. I can understand why people are very much focused on Asia. And I understand the message today, it’s stabilize. It doesn’t mean that there won’t be more competition, but the market is here to stay, and Playtech now is on the front foot, not only to stabilize it, but to ensure that it cements its position in Asia until such time that the vast majority of its business will be regulated, and even then I think that Asia will remain relevant for any company.
Dave Holmes: And one last question. I guess...
Andy Smith: Sorry, I’ll take it straight offline with after the brief.
Kathryn Leonard: It’s Kathryn Leonard from Numis. It’s a really quick one. I’m just wondering, the comments you made on the trajectory of the growth in China, that it’s still going, but it’s at, I think you said high- to mid-single digits versus a 20% previously. How does that tally with the commentary on that the issues being faced are not due with the market slowing but more to do with solely market share and competition? So can you just explain what’s changing in terms of that growth trajectory?
Mor Weizer: Yes. So we obviously had a lot of conversations in recent months. I travel back and forth to Asia now, oh, I’ve done that few times in the last few months since, I would say, second quarter. And we had some conversations with our aggregators and operators, and obviously, they said to us, the market still continues to grow, and we continue to grow. And remember, this relationships go back many, many years, and these companies generated a lot of revenues or the majority of the revenues for Playtech in Asia. They continue to grow. We lost market share. So obviously, while it is not growing as much, even on a normalized level without growth and even when factoring the growth, we basically lost -- the vast majority of what we lost is not because the market is not growing as much, but the fact that we actually lost it to other content providers.
Kathryn Leonard: Yes, sorry. I understand that. Just want to understand why it’s still growing, but not as much as it was, that market not you...
Mor Weizer: There’s far more competition in the market. Everyone sees the Chinese market is a very attractive market. The market is a very fragmented market. At the end of the day, China is not one country. China, when it comes to gaming, is too big to be considered one country. You can’t focus on China, right? You need to understand that the culture there is different. Not just -- not within -- not necessarily just within China, but you can’t refer to China as one country because it’s 21 provinces. There is not a single aggregator, a single operator, a single content provider that covers the entire Mainland China. Each and every aggregator is focused on two, three, at times four provinces and that’s it. And the market is very, very fragmented. In the last year, we saw by far more operators coming into the market. We saw a lot of local companies becoming involved, not certainly Chinese, but Korean, Taiwanese, Japanese and others that establish themselves in the Philippines and target the Chinese market. And we see a lot more -- sorry, combination of a lot more other online operators, the likes of PokerStars and others. PokerStars, I’m not sure, has started already, but others that established themselves in previous years and extending their reach, GVC, William Hill, Betvictor and others that are already operating in the market.
Kathryn Leonard: Okay. And then, sorry, one really, really quick follow-up. No not that. When you talked earlier about the 30 number -- the 30 operators you now see in the Chinese market came from five, and that at the moment has stabilized, but that number could increase. When you think about your global competition matrix, how many of them are now in the Chinese market? And what proportion could maybe still be going in, let’s say, because you mentioned obviously that they’re desperately against the content-regulated market slowing as well?
Mor Weizer: Yes. Actually, it’s a very, very good point because I wanted to refer to the tenfold and forgot. Actually, the vast majority of our main competitors, the vast majority of them are already established in the region. It all happened in the last -- some are already there for many years, like Net Entertainment, like Microgaming and a few others and a couple of others, but the rest of them followed. And today, the majority of the content providers we find in Europe, Latin America and elsewhere exist in China. And some of them, you will have the presentation, you will be able to recognize some of the names, like PlayTiger, Play’n GO, companies like Net Entertainment, Microgaming and a few others. iSoftBet and a few others. So it’s pretty much I think that what we see -- I’m not expecting an influx of new entrants into the market. This is why we said we stabilize, we feel comfortable, pricing not sustainability, let’s see what happens now. We have initiatives. We have a plan under way. We are executing against our plan. The market is still commercially attractive, and we expect -- and we don’t expect this market to disappear anytime soon. And this is important to say. I do want to add something because you referred to European companies, some people say what happened in Asia may happen to you in Europe. And I think that I want to refer to that and explain that the cost of doing business in Europe, which was the reason for all these content providers establishing themselves in Asia, is very, very different. Given the taxes involved, given the fact that you have to maintain a platform, given the fact that you have -- if you don’t have a platform integrated into a platform like Playtech, given the fact that you need to certify the games, maintain a regulatory framework, in most regulated markets you have to integrate with -- integrate into regulator systems and the fact that the operators cannot afford being charged as much because their margins are lower because of all of that -- of all of these factors, the margin in Europe is by far lower for content providers. It’s very evident in the numbers of various companies that are public companies that provide content, you can go and look at that. And you will be able to clearly see that the margins are not anywhere near what you find in unregulated markets and China specifically. And this is why we believe that we don’t -- we should not see -- and will not see any change in the competitive landscape across regulated markets or across Europe, even in unrelated markets like Sweden and or Germany and or others. But obviously, given the fact the -- Asia represent a higher-margin, cash -- higher-margin, cash generative market, they can drop the prices there because it’s all incremental. Again, I think that it’s not sustainable. They operate illegally, in my opinion. We are holding conversations with the regulator. It doesn’t make sense that Playtech will have a lot of people on the ground in the Philippines. We’ll have a distributor, it pays, that has a lot of people on the ground in the Philippines. That both will pay fees to the regulator given the fact that we support Philippine licensed operators and at the same time, some people from Europe will come, provide their games, drop their price without bearing those costs. And I think that this is something that will -- this is not sustainable, and I think that it will be clarified in the coming future.
Alan Jackson: Good. Well, thank you, ladies and gentlemen very much for coming along. And I’m sure, if there any points you want to do on a one-to-one basis, the guys are here for a few minutes. Thank you all again very much.